Operator: Please stand by. Welcome to MasTec’s Q3 2010 Earnings Conference Call, initially broadcast on November 4th, 2010. Let me remind participants that today’s call is being recorded. At this time I’d like to turn the call over to Marc Lewis, MasTec’s Vice President of Investor Relations. Marc?
Marc Lewis: Thank you, Kevin, and good morning everyone. Welcome to MasTec’s Q3 earnings conference call. The following statement is made pursuant to the Safe Harbor for Forward-Looking Statements described in the Private Securities Litigation Reform Act of 1995. In these communications we may make certain statements that are forward-looking such as statements regarding MasTec’s future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the company’s expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize, or should any of our underlying assumptions prove correct, actual results may differ significantly from those expressed or implied in these communications. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP measure can be found in our earnings press release or on the investor relations section of our website located at MasTec.com. With us today we have Jose Mas, our Chief Executive Officer, and Bob Campbell, our Executive Vice President and Chief Financial Officer. At the (inaudible) of the call we open with remarks and announcements by Jose followed by a financial review from Bob. These discussions will be followed by a Q&A period and we’ll restrict that part of the call to about 20 minutes. We have a lot of great things to talk about today so I’ll now turn the call over to Jose. Jose?
Jose Mas: Thank you, Mark. Good morning, and welcome to MasTec’s Q3 call. Today I will be reviewing Q3 results and providing my outlook for the markets we serve. Revenue for the quarter was $632 million, a 59% increase over the prior year’s quarter, and up 28% sequentially. EBIDTA increased to $73 million, an 88% increase over the prior year’s Q3. Net income increased to $30 million, a 39% increase over the prior year’s Q3. Gross margins increased to 16.4%, an improvement of 80 basis points year over year and 70 basis points sequentially. We achieved pretax margins of 8% versus 5.6% in last year’s Q3, and 5% in the previous quarter. Cash flow from operations was $72.4 million, a 128% increase from the previous Q3. Our cash balances nearly doubled. Earnings per share was $0.35 for the quarter, versus $0.27 in last year’s Q3, a 30% increase. And finally, organic growth accounted for 39% of the revenue increase driven by strong year over year growth in our wireless, transmission substation, natural gas, renewable, and install to the home markets. In summary, we had a fantastic quarter. We executed at a very high level, dramatically improved a number of key financial metrics and more importantly we continued to position the company as a leader in our markets with substantial opportunities for future growth. While our results speak for themselves, I would like to emphasize that these results were achieved during a difficult market and competitive landscape. We believe that the diverse markets we serve are improving and that over time we will benefit further from the supply/demand curve of our business. While the Precision Pipeline acquisition had a positive effect on our results, our Q3 success was in large part driven by organic growth. Pre-acquisition, we either doubled or nearly doubled the work we did for our wireless, central office, transmission, and natural gas customers. Work related to our install to the home and renewable customers grew by over 20% on a year over year basis. Our success in the quarter was driven by solid performance almost across the board, and despite a slower ramp on the construction of the Ruby Pipeline. If you recall earlier this year we expected substantially all of the revenue from the Ruby Pipeline project to be divided between the Q3 and Q4 of 2010. While we generated approximately $40 million of revenue associated with the Ruby Pipeline in the Q3, the project did not fully ramp up until October. We now expect the majority of revenues from this project to be recognized in the Q4 of 2010 and the Q1 of 2011. Before I cover some industry specifics, I’d like to once again comment on the strength of our diversity. MasTec today is a very different company than that of a few years ago. We are now positioned to participate and compete in what we believe will be some of the most opportunistic markets in our economy. As we look ahead we expect to be an active participant in deploying the infrastructure that ultimately becomes our country’s energy independence strategy. By participating in the natural gas, wind, solar, biomass, transmission and power generation markets, we will be an active player in the energy sector. Coupled with the opportunities before us in wireless and broadband, MasTec has never been better positioned. Now I would like to cover some industry specifics. Our communications revenues were $348 million for the Q3 of 2010 compared with $256 million last year, and $280 million last quarter. Within communication, our revenue from DirecTV was approximately $156 million, a 28% year over year increase and a 23% sequential increase. We expect strong year over year growth for the balance of the year. We also recently extended our contract with DirecTV for an addition four years through late 2014. While the wireline markets remain challenged, we are seeing significant opportunities related to the broadband stimulus spend. We have been awarded a number of projects and are currently bidding or negotiating on a number of other opportunities. We believe that the increased level of opportunity in this market will lead to growth in 2011 for the first time in a couple of years. Our wireless business continues to perform and experience a high level of growth. Revenues were up dramatically both year over year and sequentially. We continue working hard at both growing our existing customer base as well as developing relationships with new customers. We expect this market to continue to provide opportunities for growth for our company for the foreseeable future. Now I would like to cover our utilities business. Utility revenue was $275 million for the Q3 of 2010 versus $126 million last year and $206 million last quarter. The growth was driven by our acquisition of precision, the strength of our renewable business, our transmission business and significant growth in our legacy pipeline business. Our distribution was up sequentially but down year over year. While significant improvement is not expected in the short term, we believe this market has stabilized. As it relates to transmission, we had a very good quarter. We have spent a considerable amount of time and money increasing our presence in this market and it is beginning to pay off. There are a number of opportunities in this market and we feel we continue to make progress in making ourselves a more significant player. Our pipeline construction revenues significantly exceeded expectations. Our most recent acquisition, Precision Pipeline, accounted for just under 13% of revenues, a similar number to that of the Q2, while total pipeline construction revenues were just over 20%. This is in spite of a delay in the ramp up of the Ruby Pipeline. We have a very diverse pipeline customer base with significant exposure to a number of shales across the country. Our ability to win and book work associated with shale activity was one of the major drivers that led us to exceed our prior guidance in both revenues and earnings. Our renewable business also saw significant year over year growth. Our wind business continued as expected, and since our last call we have been awarded 40 wind projects. Bid activity remains strong, and despite a difficult market we expect 2011 to be relatively flat as it relates to wind. We do however expect to see growth in both the solar and biomass markets. We continue to believe that solar represents a large target market for MasTec and we have a number of opportunities we are currently working. About a month ago, MasTec was selected as the EPC contractor on a roughly $300 million waste cellulosic ethanol conversion facility. We are excited about our involvement in this project, and while we have not yet included it in our backlog we are hopeful to start this project in early 2011. This is an important project in that it shows the breadth of services that MasTec can now offer. We are hopeful that we can compete and win similar jobs in both size and scale irrespective of technology. Power generation, solar, and biomass all present significant growth opportunities for MasTec. In closing, we are very pleased with our performance in 2010. We have a great team and the men and women of MasTec should be proud of what we’ve accomplished. With that said, we are committed to continue to deliver results and seize the opportunities ahead of us. I would now like to turn the call over to our CFO, Bob Campbell. Bob?
Bob Campbell: Thank you, Jose, and good morning. Today I’m going to cover three areas: the Q3 financial results and increase in full year guidance, and cash flow liquidity and our capital structure. For the Q3 we had terrific results for just about anything worth measuring. Therefore I have a pretty long list of Q3 highlights. Q3 revenue was up $235 million or 49% versus last year, and revenue of $632 million was a new quarterly record. As Jose mentioned we had delays in both the startup and the full ramp up of Ruby, therefore it only contributed $41 million in Q3, which I think points to how strong and broad based our other revenue growth was for the quarter. We’ve been saying all year that 2010 was very backend loaded, driven by customer workload and projects, and obviously that’s exactly what has happened. Q3 organic revenue growth without the impact of the Precision acquisition was up 39%. Let me say two things about our 39% organic growth: first, it represents a partial payment in our investment of business development capabilities. As we have mentioned in the past we have been beefing up and investing in our business development area in order to grow and diversify our customer base; and second, the organic growth was very broad based. We had excellent and double digit growth from wireless, midstream, natural gas pipeline, renewables, installed in the home – which is DirecTV – and the electrical transmission and substation business. Q3 EBIDTA was up 88% versus Q3 a year ago, and it was gratifying to see it grow at a much higher rate than our revenue. In dollars EBIDTA was $73 million compared to $39 million a year ago, which is also a new quarterly record. We said that this year would be heavily backend loaded and the $73 million of EBIDTA for Q3 compares to $80 million for the entire first half of the year. Q3 EBIDTA margin was 11.5% compared to 9.7% a year ago and Q3 was our best margin quarter since 2000. EPS of $0.35 per diluted share was well above our earlier expectation of $0.28 and ahead of last year’s $0.27. Year over year EPS comparisons are complicated because of a dramatically higher booked tax rate this year. I’ll walk you through the EPS details a little later. Q3 cash flow from operations was $72 million and our liquidity grew to $237 million at the end of the quarter. We are raising 2010 guidance to $2.22 billion of revenue and $230 million for EBIDTA. That’s a 37% year over year revenue increase and a 50% increase in EBIDTA. And finally we are having a terrific year by all measurements in spite of the mediocre economy. Now for the Q3 details. Q3 revenue increased by $235 million or 59% year over year, up to $632 million for a new quarterly record. Double digit increases in pipeline, wireless, renewables, installed in the home – which is DirecTV – and transmission substation were partially offset by continued weakness in our wireline and electrical utility distribution markets. While the Precision Pipeline acquisition certainly helped our 59% growth rate, we did have 39% organic growth for the quarter which was pretty broad based growth. I’ll talk about increases with specific customers a little later. Q3 gross profit margin increased to 16.4% from 15.6% last year, reflecting increased productivity and also a better business mix. Q3 depreciation amortization expense of $15 million was up $4 million from Q3 last year, reflecting primarily the growth in fixed assets in our pipeline business, but another big driver was a $1.3 million increase in amortization expense for acquisition related intangible assets also related to Precision Pipeline. Depreciation and amortization as a percent of revenue dropped from 2.7% down to 2.3%. Net interest expense for Q3 was $7.3 million compared to $5.8 million last year due to higher average (inaudible), but as a percent of revenue net interest dropped from 1.5% down to 1.1%. I’ll talk about our capital structure a little later. Our G&A expense was $31 million compared to $24 million a year ago. The largest part of the increase was a bonus expense related to much higher earnings followed by increases in payroll and fringe to handle the growth. As a percent of revenue, G&A dropped from 6% down to 4.9% and that’s our lowest G&A percentage ever. As I mentioned earlier, Q3 EBIDTA was $73 million, which is a $34 million or 88% increase compared to Q3 a year ago and our best quarter ever. Q3 EPS of $0.35 increased by $0.08 from last year’s $0.27 despite our booked tax rate going from only 2.3% last year up to 40.8% this year, and that’s a transition we’ve been talking about for two years. The increase in booked tax rate hurt the quarter for a negative $0.22. The booked tax rate accrual remains mostly non cash because of our NOLs, which I will talk about later. We were also hurt in Q3 by higher depreciation amortization, higher interest expense, and our higher share count mostly related to the “if converted” accounting treatment for our two convertible notes. Management believes that EBIDTA remains the best measurement of our 2010 financial performance, that is until we have two comparative years with roughly the same booked tax rate and until we burn off our remaining NOL and then have booked taxes and cash taxes that are roughly comparable. For the Q3 of 2010 the ten largest customers were: DirecTV was 25% of total revenue. Please note that it’s down from 31% of revenue last year and that’s in spite of our 28% revenue growth with DirecTV in Q3. AT&T was 22% of total revenue. Our Q3 year over year growth was 86% which was driven by wireless growth. Ruby Pipeline was 6% of revenue. The percentage is much lower than we had expected due to delays in both the startup and the full ramp up of Ruby. Ruby is a large El Paso Corporation project, and our part of it is over 250 miles through Nevada. TPF East Texas Gathering was 5% of revenue, that’s a pipeline customer. Edison Mission Energy was 4% of total revenue, that’s a wind farm customer. Nextera Energy and Talisman Energy were each 3% of total revenue. Nextera is a wind farm customer and Talisman is a pipeline customer. Duke Energy, Energy Transfer Company, and Ebidrola (ph) Renewable Energy USA were each 2% of total revenue. Duke and Ebidrola are wind farm customers and Energy Transfer is a pipeline customer. Regarding diversification, our top ten customers now include one satellite television customer, one telecomm customer, four pipeline customers and four wind farm customers. Regarding concentration with DirecTV, the concentration peaked at 47% of total revenue in Q1 2008. In Q3 this year the revenue concentration was down to 25% in spite of 28% year over year DirecTV growth. We believe that we have successfully addressed our DirecTV concentration issue. Today, back log is $2.3 billion; that’s an 18-month backlog number. The comparable number for Q3 a year ago was $1.8 billion and $2.2 billion last quarter. We have not included in our backlog a large ethanol plant project that one of our customers recently announced because some of the financing is not yet finalized. The size of the project, which is an EPC project, is approximately $300 million. Remember that because over 50% of our revenue comes from master service agreements or other contracts for continuing services, our backlog includes an estimate of the next 18 months of revenue from those contracts. Now let me talk about our cash flow, liquidity, and our balance sheet. Net cash flow provided by operating activities was $101 million for the first nine months of the year, and our September 30 liquidity was $237 million. A year ago cash flow from operations was $86 million and liquidity was $183 million. We defined liquidity as unrestricted cash plus availability on our bank revolver. The biggest drag on our cash flow from operations is growth in accounts receivable and inventory. However the growth in AR and inventory is just part of the price of enjoying 40% revenue growth for the first nine months of the year. Regarding accounts receivable, our Q3 days sales outstanding or DSOs were 63 days as compared to 65 days last quarter and 60 days at year end. Our current DSO goal is 60 days, which I think is a pretty tough goal but worth pursuing since every day of DSO is worth $7 million in cash to us. You will likely see going forward a little volatility in DSOs due to either the positive or negative impact of big projects with different payment patterns. Most of the inventory ramp up is related to our wireless business where we are just having explosive growth. Also year to date we have $34 million in cash outflows for acquisition earn out payments. It’s good news that our acquisition companies are doing extremely well and that we now need to make some earn out payments. Most of our agreements allow MasTec to pay earn outs in either stock or cash, but we’ve elected to pay it in cash given our high level of liquidity and our perception that our stock is extremely undervalued. As a part of our acquisition risk management approach we certainly prefer to pay a significant portion of our acquisition consideration on a contingent basis, dependent upon future earnings performance. We believe that our approach is more conservative than paying more of the purchase price up front and then taking a larger return on investment risk. Our cash flow continues to benefit from our tax NOLs. First let me cover how the NOLs impact our cash taxes, and later I’ll cover our 2010 booked tax accrual rate, which is dramatically higher than our actual cash taxes. Currently we have a federal tax net operating loss or NOL of about $41 million, which we can carry forward against our future cash tax liabilities. Because of our NOLs we paid only modest cash taxes for 2009 and expect to pay modest cash taxes again in 2010. Based on our current projections we will likely exhaust our NOLs in the Q4 of 2010, so we expect to pay some cash taxes on our earnings for 2010 but far less than would normally be paid. And then by 2011 we expect to be a normal full cash tax payer. Our tax position really helps our cash flow for 2010. Regarding capital spending, we have only spent $23 million year to date. Our 10K had an estimate of $40 million to $49 million for the full year, which was very conservative, but at this point I would estimate that CAPEX would be more likely to be in the $30 million range for 2010. To summarize our cash flow characteristics, I would say this. EBIDTA continues to grow nicely. It’s up 49% year to date. DSOs in the 60’s are in good shape. CAPEX of about $30 million this year is modest. Cash interest estimated at under $30 million is reasonable, and our cash tax payment should be modest for 2010. Therefore our cash flows should be very good again this year. Now let me talk for a moment about our capital structure. As a quick capital structure summary, at quarter end we had $585 million in equity, $418 million of total debt, only $298 million in net debt, that’s net of cash; and we expect to have $230 million of 2010 EBIDTA. Therefore, all of our balance sheet and credit ratios are in very good shape. I’d like to note two things about our capital structure. First we have no significant debt maturities until ‘13, ‘14, and ‘17, and second, all of our debt has attractive interest rates. To give you a little more detail, our bank line matures in 2013 but of course we intend to roll it over long before maturity. The convertible notes mature in 2014 and our senior notes mature in 2017. And as I mentioned, our debt is very attractively priced. Our bank revolver interest rate drops on December 1st down to LIBOR plus 2.25, although we currently have no draws on the revolver. We pay only 4% and 4.25% on our two convertible notes, and we pay 7 5/8% on our senior notes. My overview today of what we’ve been able to accomplish over the last several years is the same as I’ve mentioned before. We’ve been able to expand into a number of new markets with excellent growth potential, grow and diversify our customer base, dramatically reduce our DirecTV concentration, all while maintaining good liquidity and a solid capital structure. We are raising 2010 full year guidance for revenue and earnings to reflect the impact of our strong Q3. We are raising revenue guidance from $2.1 billion up to $2.22 billion, and that compares to $1.6 billion last year. We are raising 2010 EBIDTA guidance from $218 million to $223 million up to $230 million, and that compares to $153 million last year. We are raising 2010 fully diluted EPS guidance from $0.92 to $0.95 up to $0.99, and that compares to $0.90 last year. Our revenue guidance reflects a 37% increase and our EBIDTA guidance reflects a 50% increase. 2010 EPS of $0.99 is a much smaller increase than for EBIDTA because of the dramatic increase in the booked tax rate for 2010. Our booked tax rate for 2010 is 40.9% compared to only 10.6% for 2009, and the impact of the booked tax increase is $0.48 per share negative drag on 2010 GAAP earnings. As I’ve already noted our cash taxes will be modest for 2010, so the booked tax rate accrual is mostly a non-cash charge. Now let me make three comments about 2010. First, we’ve been saying all year that our earnings would be very backend loaded and the backend loading was being driven by customer workload and project timing, and that is exactly how 2010 has unfolded. I don’t think being a little lumpy is bad if it is driven by a changing business mix and the mix change results in higher earnings and higher margins. And higher earnings and higher margin potential is what we think we have accomplished with our transformed portfolio of businesses. Second, we have been able to have an outstanding year and raise guidance in spite of delays with the Ruby Pipeline project. When we gave our original guidance for the year we expected to complete substantially all of Ruby in 2010. And third, we can actually do much better than what we’ve accomplished in 2010. We have been in a mediocre economy all year and we can do far better than 2010 in a strong economy. 2010 is certainly an outstanding year, but we had underutilization in most of MasTec all year along. Another point: most of our markets are at far from peak levels, and therefore pricing today is only so-so and not slanted in favor of contractors. And finally, while we’ve been investing to improve our business development capabilities, we can still be much better than we are today. Given all of these factors, even though 2010 is an extremely good year for MasTec, we believe that we can do significantly better in future years. Now let me cover Q4 guidance. We currently expect Q4 revenue of about $643 million, compared to $496 million last year. That’s an increase of 30% and our best quarter ever. We expect EBIDTA of $77 million compared to $50 million last year; that’s an increase of 54% and also our best quarter ever. We expect fully diluted EPS of $0.37 compared to $0.22 last year, and that’s an increase of 68%. The Q4 booked tax rate for 2009 was 28.9% and for this year we now expect 40.9%, which has a negative impact of $0.07 on Q4 2010 GAAP earnings. And as I’ve already noted, our cash taxes for 2010 will be modest, so the tax accrual is mostly a non-cash charge. In summary, we’re having a terrific year in the midst of a mediocre economy. Q1, Q2, and Q3 were each better than our original expectations. We are encouraged by our Q3 39% organic non acquisition revenue growth and by our broad based revenue and EBIDTA growth. We expect a very strong Q4 driven by strength in pipeline, wireless, renewables, install in the home or DirecTV, and transmission and substation. We are closing in on our double digit EBIDTA margin goal for this year and 2010 will be another terrific cash flow year. That concludes my remarks. Now let me turn the call back to the conference operator for the Q&A session.
Operator: (Operator Instructions.) First up from Barclays we have a question from Gosho (ph).
Gosho – Barclays: Good morning, guys, nice quarter.
Jose Mas: Good morning, thanks.
Gosho – Barclays: First on the Ruby Pipeline project, you mentioned that most of the revenues could be in Q4 and Q1 ‘11, and are you assuming a roughly $50 million a month run rate for those quarters still? And could it possibly slip into Q2? Because I noticed El Paso in their call yesterday mentioned that there was some delay on Ruby that could push the completion date to June next year.
Jose Mas: So I think roughly those numbers are accurate. You know, we could towards the end of the project, we’ll actually have some cleanup work that we’ll do in Q2 for sure. We expect most of the construction activities to be complete by the end of Q1, and if not by the end of Q1 very close to Q1.
Gosho – Barclays: Okay, and El Paso also said that Ruby’s 10% to 15% over budget given the delays, and I know this is a cost reimbursable project for you, but are there any contingencies versus whether that could affect your margins on that project? And have margins on that project been generally in line with what Precision has historically seen so far?
Jose Mas: So the easy answer to the question is the margins have been in line with what we expected. And I think we have a great relationship with El Paso and we’re working as hard as we can to finish the job for them as cost effectively as we can.
Gosho – Barclays: The over budget doesn’t affect you guys because it’s cost reimbursable, right?
Jose Mas: That’s correct.
Gosho – Barclays: Okay. So what percentage of your current pipeline revenues, x Ruby or generated from shale gas regions, going forward do you see that mix shifting more towards shale or is that the bulk of the industry growth right now?
Jose Mas: Yeah, I would say that almost all of our non-Ruby Pipeline business is somewhat shale related or at least the majority of it, so there’s no question that’s where- We said in the remarks, that’s definitely where we exceeded the expectations that we had laid out from both revenues and profits. And more importantly, I think as we look out into 2011 it’s where we see significant growth opportunities as it relates to the pipeline business. So we think the shale business for us will be bigger in ‘11, we think there are tremendous opportunities there. We’re working hard to expand within those shales that we’re very active, and we’re working very hard in expanding into some of the shale plays that today we’re not in.
Gosho – Barclays: Okay. And can you talk about what contributed to the strong growth over the last couple quarters in DTV?
Jose Mas: We’ve been saying it all year. I think they’re having a fantastic year. I think as a company they’re executing at an incredibly high level. We’re proud to be associated with them. I think we’re also performing extremely well in that business. There’s some incentive compensation plans that they laid out over the course of the last year, year and a half that have really helped us rationalize that business and performing that business in a better way. But quite frankly we’ve kind of been saying this for the last few quarters – we think that they’re accomplishing this in what is a very poor residential market, right? Cause if you think about video television, why do people change? And in my opinion you get most of the change because people are moving; they move into a new house, they have to make a decision on video, and that’s when I think DirecTV and the other cable operators get more activity. And the reality is that in the market that we’ve been in a lot of people aren’t moving. So I expect as housing improves and as people begin moving again, that that’ll actually be a very positive event for DirecTV and even help continue to grow their business going forward. So you know, we’re- I don’t think there’s anything we can point our finger at. There’s no one thing that’s happened with that customer that’s really led to that growth. I think they’re executing at a high level, they’re performing very well. They’re having obviously great response from the market and we’ve been able to help them and benefit from that.
Gosho – Barclays: Okay, thanks.
Jose Mas: Thank you.
Operator: Next up we’ll take a question from Alex Rygiel, FBR Capital Markets.
Alex Rygiel – FBR Capital Markets: Thank you. Good morning, gentlemen. Great quarter.
Jose Mas: Thank you, Alex. Good morning.
Alex Rygiel – FBR Capital Markets: Good morning. First on backlog, backlog looks like it’s up about 10% year over year as you reported it, if you include the ethanol project up about 24% year over year. Can you give us a little bit of sense with regards to the growth in backlog across some of the end markets, like wireless or wireline, pipeline? And I know you mentioned wind but comment on the backlog in wind a well.
Jose Mas: When we talk about the revenue growth, and really there were a number of businesses that we nearly doubled and obviously some of the other businesses grew north of 20%, and what we’re saying about ‘11 is even some of the businesses that didn’t perform at a really high level in 2010, like our wireline business that hasn’t seen a lot of growth- We’re actually booking and winning a lot of business that we think is going to drive to 2011 growth for that business in particular. So as you look at our backlog growth it’s really broad based. It’s coming from almost all of our businesses. I think the beginning of ‘11 anyway is shaping out to be extremely good, and we think overall 2011 is going to be a solid year. So there is nothing in particular that is having a big impact on the backlog number. I think that the most important part of our backlog number is in spite of record revenues and having the best revenues we’ve ever had honestly, which were very high, we were able to not only maintain backlog but slightly grow it sequentially. And we’re pretty proud of that, and again, it’s pretty broad based.
Alex Rygiel – FBR Capital Markets: And as it relates to your Q4 guidance, it would appear that if we were to kind of back out Ruby, that the rest of the businesses you are forecasting sort of traditional seasonal declines. Is that a fair comment? And again, kind of on the offset of that, looking at and including Ruby it definitely looks like there is less seasonality in your business. I suspect that you view that very favorably, so can you comment on these topics?
Jose Mas: Sure. I think that if you go back a few years, and we’ve actually made two pretty sizeable acquisitions in the Q4 of ‘08 and the Q4 of ‘09, which I think have somewhat- If you don’t back those acquisitions out of those quarters in particular then it’s hard to see the sequential decline, the normal sequential decline from Q3 to Q4. But there’s no doubt that in our business Q4 tends to be a little bit slower than Q3, and a lot of it’s driven by the holidays. You’ve got Thanksgiving which eats a bunch of days in November and you’ve got the Christmas and New Year’s holiday at the end of the year. So we’ve always been, and you have a lot of municipalities and areas across the country that have some moratoriums where you can’t work in certain areas, so that’s always had a slight impact to our Q4. So we always expect Q3 to be slightly better than Q4. Obviously Ruby is changing that dynamic in 2010 because of the size and scope of that project. But there’s no question that one of the things we’ve been working very hard at has been to reduce seasonality across all of our businesses and try to make it a much smoother quarterly trend. We’re still going to peak in Q3 and Q1’s going to have some of the slowdowns due to weather, and conversely Q4. I think we’ve done a really good job at it and I think we are going to be a little bit smoother going into the future.
Alex Rygiel – FBR Capital Markets: Very helpful, thank you very much.
Jose Mas: Thank you, Alex.
Operator: Moving on to Vance Edelson at Morgan Stanley.
Vance Edelson – Morgan Stanley: Hi, thanks. Great job on the quarter. You had to wait a long time to prove the backend ramp so congrats on that.
Jose Mas: Thanks, Vance.
Vance Edelson – Morgan Stanley: Could you provide a 4G update? What are you hearing from AT&T and Verizon regarding the pace of their upcoming rollouts? Any change in the plans over the past few months?
Jose Mas: No. We’ve said it’s a 2011 event. We think it’s going to be a very active 2011 as it relates to LTE and 4G. Nothing’s changed. I think we’re starting to get a lot more clarity around what 2011’s going to look like and exactly what’s going to be performed, but as expected 4G’s going to be a big part of it and I don’t think anything’s changed.
Vance Edelson – Morgan Stanley: Okay, great. And could you share with us your broader thoughts, Jose, on the DirecTV opportunity for MasTec as it transitions from an installation opportunity to more of a maintenance and upgrade opportunity? How quickly does that shift take place in your mind? What do you see over the next year or two, and what’s the relative size of those two opportunities?
Jose Mas: Well, you know, the maintenance and service business is already a huge component of our business with DirecTV. It represents almost 2/3 of the workload. So it’s not a new business for us. It’s one that we’ve always performed. Obviously as the years have gone on and they’ve grown that business grows with customer base. So as DirecTV continues to add to its customer base there tends to be obviously more customers that have issues and you end up having more service calls, and upgrade tickets and things like that. So that’s no question a big driver of our business, and then you’ve got the installation piece which is a smaller component but obviously one that’s driven by customer growth. So the great thing about that business is it’s very predictable and somewhat easier to plan and have good idea of and forecast.
Vance Edelson – Morgan Stanley: Okay, that makes sense. And finally any more specifics you can provide on wind in terms of the megawatts to be installed this year and what you expect the backlog to be as we head into 2011?
Jose Mas: You know, we’ve been saying all year that we’re shooting for 1300, we think we’re on track to accomplish that in 2010. I know that the wind numbers in general for the industry are somewhere, I think the estimates are more 5000 to 6000. As we look at ‘11 we think it’s going to be a challenging year as 2010 was for the industry because there really hasn’t been any regulatory changes as it relates to wind. But we think we’re going to be relatively flat in ‘11 versus ‘10. We’re seeing a lot of wind opportunities currently. As we said, we actually won four new projects, many of those will actually go through ‘11. So we’re excited about where we stand in that industry and the position that we have, and really we’re having a great year.
Vance Edelson – Morgan Stanley: Okay, great. Well keep up the good work. Thanks a lot.
Jose Mas: Thank you, Vance.
Operator: Moving on now to Tahira Afzal at KeyBanc.
Tahira Afzal – KeyBanc: Congratulations, gentlemen, on a great quarter.
Jose Mas: Thank you, Tahira.
Tahira Afzal – KeyBanc: A couple questions, and number one about wind. This year’s turned out to be really good for you, hedged by regional positioning and really the clients you’re positioned with as well. Could you touch base on Ebidrola, Nextera, Edison Emission Energy? Really talk a bit about how your positioning looks for next year with them. And the other question I had was in regards to pipelines. There seem to be a couple of other large pipeline projects out there including Enterprise Pipeline, and then later on next year the second leg of Keystone. I would love to get an idea of your ability to bid on some of the larger projects outside of Ruby.
Jose Mas: So first, Tahira, on the wind side of our business, we’ve always felt that one of the strengths of our business and really one of the advantages that we’ve had has been the customer base and the customer relationships that we were able to build in that business over obviously a very long period. We continue to believe that the customers that we’ve been supporting are going to continue to be the influential and key players in the market and are going to be very active participants in the market. So we think we’re riding the right horses. We continue to expand our marketing presence and really working hard at wining some projects from some others that we think are going to be either active or more active in future years. So we feel good about our market presence and those that we’re working with, and there’s no question that that’s a big reason for the success that we’re having in 2010. As it relates to our pipeline business, we expect and we think we’re going to compete for every major project that’s available to perform in the country. We think we’ve built a great reputation in that industry, and I think customers know that we’re a player and we’ve got something to add. So I think we’ll participate in all of the major projects that’ll be bidding for 2011.
Tahira Afzal – KeyBanc: Got it. And then if you look at the electric transmission business, one of your peers mentioned bidding activity being up 40% year on year. How are you positioned? And I know you’ve done really well on the small projects. Could you talk about whether you’ve been called in to bid on some of the larger projects at a greater frequency?
Jose Mas: Again, it’s an area of our business that we’re very focused on. We’ve spent again a lot of time and money trying to build that. I think we’ve done a good job. Obviously we’ve been more focused on some of the smaller projects, partly because a lot of the larger projects haven’t been there – there’s been a lot of delays to some of the larger projects in that industry and that business. I think that we’re today participating in larger projects than we’ve ever participated in the past and I think we’re being invited to the table with more frequency. I think customers have a much better understanding of not only who we are but what we ultimately want to achieve in that industry, and I think that’s been well received. And I think that’ll pay off over time.
Tahira Afzal – KeyBanc: Got it, okay. And last question is in regards to telecomm, and I think was it, maybe I’ve asked you this every quarter now so I apologize. But on the wireless side, any more inroads being made on the Verizon side as of yet?
Jose Mas: And I think I give you the same answer every time, too, Tahira, so I’ll do it again. But look, I think we’re doing a good job. We’re doing a little bit of work for Verizon today, we’re doing a little bit of work for other customers. Obviously with the growth we’re experiencing at AT&T it’s been extremely difficult to really focus all of our efforts on growing other businesses when we’ve got some substantial growth to have to execute on. That’s been the challenge. Irrespective of that I think we’re doing a good job, we’re making strides and I think we’ll continue to do that. I think that as some of these customers begin to go through that technology change out, that creates bigger opportunities for us. So I think there’s going to be a lot more opportunities for us in 2011 with some of those new customers that we’ve been targeting for a long time.
Tahira Afzal – KeyBanc: Got it, okay. Well congratulations again, Jose. That’s it from my end.
Jose Mas: Thanks, Tahira.
Operator: Moving on now to William Bremer at Maxim Group.
William Bremer – Maxim Group: Good morning, gentlemen. Fantastic quarter. Nice to see your long-term strategy starting to shine through here. I guess my first question, let’s go into pricing. You alluded to a backlog up sequentially. How is the pricing of that backlog? Has there been any changes and can you give us an idea of how pricing currently is in the marketplace given some of your peers were seeing capacity issues and some pricing issues?
Jose Mas: You know, I think pricing is stable. I don’t think pricing’s improving in the market today, and it’s a very difficult comment because obviously there’s a lot of different businesses that we’re participating in and each has its own dynamics, but I think across the board pricing is stable. We haven’t seen really much improvement in pricing nor have we seen any significant declines in pricing. So I think it’s still a competitive market. Going back to some of our earlier comments I think what makes this quarter and really our performance in 2010 even more special is the fact that we’ve done it in a very difficult economy. We’ve done it in a time where the competitive landscape’s been tough, things aren’t easy out there, a lot of contractors are hungry. So for us to be able to perform at the levels that we’re performing at in that market I think says a lot, and I think that it also shows to the fact that once that does improve, and it will improve because the market is improving overall in terms of capacity, and as that gets eaten up pricing will follow. And as it does, we’re going to get our share of that impact and I think it’s just going to make our performance in the future even better. So we’re not worried about what pricing is today. We wish pricing was on the upswing a little bit faster but pricing’s stable and not much different than it’s been for the last couple quarters anyway.
William Bremer – Maxim Group: And then, Jose, can you give us, and just briefly if you can, give us an idea of how your segments are currently running? What capacity, say, is communications currently running at? What capacity is utilities running at? Just give us a ballpark of what MasTec is capable of performing.
Jose Mas: You know, again, and it depends on the business that we’re talking about, right, because every business is in somewhat of a different state. If you look at wireless obviously we’ve been, we’re almost doubling that business every quarter on a year over year basis. So that business is at obviously running as close to full capacity as you can get. But when you look at a lot of our other businesses, like our wireline business or our distribution business; or even some of our bigger businesses that have a little more cyclicality, where they’re having big months and then they’re onto a project, off another where you don’t have that constant being able to move off one project to the next – you know, utilization rates are much lower. So we’re probably running 60% in some, 80% in others, and at full capacity in others. So it’s a broad mix but I think the overall point is that if the economy was better and we had a more similar economy to that of a few years ago from a construction perspective then I, and again I think at some point we’ll get back there, our results could be a lot better.
William Bremer – Maxim Group: Excellent. And then finally balance sheet is very superb at this point. Can you give us an idea of what the game plan is here?
Jose Mas: We continue to be very opportunistic. So we’ve seen, I think if you look at MasTec’s evolution, over the course of the last few years we felt we really needed to make acquisitions to change really the profile of the company, to change the diversity of the company, where we were headed. I think we’ve accomplished so much in such short years and I feel really good about where we stand in the markets where we’re at today. With that said, we’re beginning to see a lot more opportunistic activity in some of our existing markets from a deal flow perspective that didn’t exist over the last few quarters. I’m not saying we’re actively looking and feel that we have to make things happen, but there are some very interesting and opportunistic things that are happening out there that we’re listening and looking at. From a company perspective, we’ve obviously been very, very disappointed with where our stock price has been and how it’s reacted to our performance over the course of the last year, so we’ve, as our cash balances grow we’re looking at that very closely. We feel that we’re not in a position where we need to have very large cash balances to operate and grow this business, so if we’ve got capital on our balance sheet and we find a way to increase shareholder value by deploying that capital we’re going to do it.
William Bremer – Maxim Group: Okay, gentlemen, thank you. Congrats.
Jose Mas: Thank you.
Operator: Now from Wunderlich Securities, Theodore O’Neill.
Theodore O’Neill – Wunderlich Securities: Good morning. Great quarter.
Jose Mas: Good morning, thank you.
Theodore O’Neill – Wunderlich Securities: Jose, on your assumption that the wind business would be flat into 2011, to the extent you feel comfortable being this granular can you give us a split between business that you’re currently executing on versus projects that you expect to get in 2011 to keep that number flat? And the reason I ask this is that the American Wind Energy Association is saying that there aren’t any new projects that are coming online for 2011, that we’re going to sort of glide into 2011 with what’s being built right now. And I know their numbers can be a little bit squirrelly, but I was wondering if you could give us some color on that.
Jose Mas: Well, what I can tell you is we look at 2011 versus 2010, we’ve got a pretty good understanding of the projects that we either expect to get or are targeting from specific customers. So when we say we think we can be flat in ‘11, it comes from working the process pretty hard, understanding what we think’s going to be built in ‘11 and what our opportunities and chances are for winning those projects. And in talking to our customer base and understanding the projects that they have for ‘11, where we fit in for those projects, we feel pretty good right now that we can maintain the same level in ‘11 that we did in ‘10. Some of that’s already in backlog, some of that’s to be negotiated or bid on and won, but again, we feel pretty good. We said the same things at the end of ‘09, contrary to everything else that was being said in the public market relative to wind. I think we had very little credibility and I don’t think people believed us, but the bottom line is we’re going to actually keep to what we said and I think ‘11 will be the same.
Theodore O’Neill – Wunderlich Securities: Okay. And on the solar side, could you expand a little bit on where you see the opportunities? I mean clearly that part, the solar business in the US is going to grow in 2011 and if you could be a little more, tell us what regions or where you see your greatest opportunity.
Jose Mas: You know, we’re very active in the market. We are targeting projects all across the country of all different size and scale. So whether they’re utility scale projects; we’re looking at rooftop projects. We’re looking at CPV, PV – there’s a lot of activity, there’s a lot of developers. I think the challenge in the business is trying to identify those projects that are real and will ultimately be constructed and those projects that are going to fall by the wayside. And I think that’s where we learned a lot in our first year in the wind business and really trying to understand and identify the different developers and what their plans were. I think we’re trying to use that as we look at the solar opportunities ahead of us. We have bid on an unbelievable number of projects for unbelievable amounts of dollars, and we think we’re going to get our fair share and we think that market’s going to be extremely active in 2011.
Theodore O’Neill – Wunderlich Securities: Thank you.
Operator: Noelle Dilts has a question from Stifel Nicolaus.
Noelle Dilts – Stifel Nicolaus: Hi, good morning, and congratulations on a good quarter.
Jose Mas: Thank you.
Noelle Dilts – Stifel Nicolaus: I just wanted to circle back around to Q4 guidance. You know, your guidance is within the range that was implied when you issued your Q3 guidance back in August, and that seems a bit conservative given that the Q3 was so far ahead of your expectations, and it seems like at minimum wireless and DirecTV are running ahead of what you were looking at at that point. So can you comment, give us any additional clarity on if you think there’s a business that’s performing a little below your expectations or if you’re kind of just maybe being a bit conservative?
Jose Mas: Well, a couple of things. I think when you look at the Q3, we executed at an extremely high level. We’re very successful in the Q3 of booking and winning, booking and burning work in the particular quarter across a number of our businesses. I think that those opportunities exist for the Q4, but I don’t think there’s a lot of value in really setting the bar extremely high based on where we trade at today to be quite honest. So we feel really good about our Q4 guidance. We think it’s obviously very achievable. Our intent is to always meet or exceed guidance and we’re hoping that we can sit here three months from now and talk about how we significantly beat guidance again; but at the same time, if we just hit the numbers that are out there it would be a record revenue quarter, it would be a record quarter as it relates to margins. We’re guiding 50 bps up on margins, both on EBIDTA and pretax. So we feel good about the numbers that are out there and our goal is to meet ‘em or beat ‘em.
Noelle Dilts – Stifel Nicolaus: Okay, great. And then can you discuss- I was pretty impressed with SG&A as a percentage of revenues this quarter. You seem to have pretty good control, maintaining SG&A pretty much flat in the face of significant sequential growth. Can you talk about the sustainability of SG&A at this level over the longer term?
Jose Mas: You know, it goes back to utilization, so what we’ve said all along is we think we’ve got a company that can perform a lot more business than we’re currently performing with what we have in place. That doesn’t say that the raw numbers won’t move because they will, because you’ll have to add a little bit. But we could still grow the top line of this company with very little movement to SG&A. There’s still a lot of room there. So our goal is to continue to improve that metric going forward.
Noelle Dilts – Stifel Nicolaus: Okay, thank a lot.
Jose Mas: Thank you.
Operator: Moving on now to Liam Burke at Janney Capital Markets.
Liam Burke – Janney Capital Markets: Thank you. Good morning, Jose.
Jose Mas: Hey, good morning, Liam.
Liam Burke – Janney Capital Markets: On the wireline you discussed that you’ve got more projects coming up in the backlog. Are a lot of these projects stimulus related or is there something else in the mix there?
Jose Mas: They’re stimulus related.
Liam Burke – Janney Capital Markets: Okay. And on the, staying with the wireline, are you going to require additional investment going back to the capacity issue or can you reallocate resources to get that done?
Jose Mas: Again, we think we’re sitting on extra resources in that business, so all that’s going to do is improve utilization levels in that business, and obviously we’ll hire a little bur we don’t think we’ve got to do a lot to execute on the business that we’ve won or are expecting to win.
Liam Burke – Janney Capital Markets: Great, thank you.
Jose Mas: Thanks, Liam.
Operator: We’ll take a question now from John Rodgers at DA Davidson.
John Rodgers – DA Davidson: Hi, good morning.
Jose Mas: Hey, good morning, John.
John Rodgers – DA Davidson: A couple of things. First of all, may be for Bob – the amortization schedule for next year, does it drop off substantially as you anniversary some of these acquisitions?
Bob Campbell: It does and there’s a, in the K there’s an amortization schedule. And from memory, I’m going to look it up – I think it goes from $13 million this year to like $8 million. And if you can give me a minute, maybe we can take the next question and I’ll look for that number.
John Rodgers – DA Davidson: Okay.
Bob Campbell: But it does drop off quite a bit.
John Rodgers – DA Davidson: Okay. And then secondly, the, I think it’s the Direct Star option that’s out there, I mean given DirecTV’s doing better is it a realistic possibility that that business or unit gets sold?
Jose Mas: Yeah, just to give a little bit of background, Direct Star is our DirecTV sales business, so it’s the arm of our business where we actually sell product into the marketplace. You know, we did that deal a long time ago. It was somewhat of a self-funded startup where we had some partners, we eventually bought them out and over time there was an option that they could exercise to buy that whole business. And we’ve had a lot of disclosure in our queue around that. We’re not sure whether they’re going to exercise it or not. Obviously it’s up to them. We think there’s a good chance that they will but time will tell. The business is performing well. Again, it’s a sales business so it’s not necessarily in a quarter what we do but it’s a good business.
John Rodgers – DA Davidson: Okay. And lastly was a, you’ve talked about or implied that margins could be better in a stronger economy. I mean I think it’s primarily margins when you say you think you could be earning a lot more if we had a bit more tailwind. Looking back at MasTec it’s a little bit hard because of the transformation you’ve been through to look at old historic margins, but can you just give us a sense, I mean not a prediction but a sense of how much upside there is there?
Jose Mas: Well, what I can say is in 2007 we were sitting at 7% EBIDTA and we set our goal for ourselves of 8% to 10%. We’ve now exceeded that now and there’s no question that it’s time to probably update those goals. But as we look, I think it’s two things. I think it’s obviously margin – a lot of it’s driven on revenue growth, right, because you’ve got- The improvement in utilization has some revenue growth but obviously at a much better margin than additional revenue because you’ve got the capacity to do it today in house. And again, as you look, I wouldn’t say that every business is in that boat but we have a number of businesses in that boat, and I would think that if you’re looking at somewhere between zero and 200 basis points is probably the right thing to think about in terms of long-term margin potential.
John Rodgers – DA Davidson: Okay, and that’s across the entire business.
Jose Mas: You know, more so in some than in others. Even the businesses that are growing rapidly as there’s inefficiencies in growth. So as you’re doubling a business year over year you’re not mining margins out of that business to the extent that you want because you’ve got, you’re growing at such a fast level. So as things begin to somewhat normalize you end up mining a lot more margins out of those businesses. So yeah, I would say across the board.
John Rodgers – DA Davidson: Okay, great. Thanks and congratulations on the quarter.
Jose Mas: And Bob’s got an answer for you on that amortization.
Bob Campbell: My first answer was correct. It is $13 million this year and in our K last year the run off would be $7.6 million in ‘11, and then further declines as the intangibles amortize out.
John Rodgers – DA Davidson: Okay. And I assume, Bob, most of that really starts to, it really drops off later in the year as you actually anniversary the acquisitions.
Bob Campbell: Yeah.
John Rodgers – DA Davidson: Okay, perfect. Thank you.
Jose Mas: Thanks, John.
Operator: A question now from Veny Aleksandrov at Pritchard Capital Partners.
Veny Aleksandrov – Pritchard Capital Partners: Good morning, thank you for taking my questions. I had some telephone problems.
Jose Mas: Morning, Veny.
Veny Aleksandrov – Pritchard Capital Partners: So on the pipeline side, it looks like you had a great quarter and you’re doing a lot of work in the shales. My question is what is the outlook for this business by (inaudible)? Is this strength really sustainable with $4 natural gas prices and with their early indications for 2011?
Jose Mas: We think it’s going to get better. We’re seeing a lot of activity, we’re having a lot of dialog with our customers. We think it’s an explosive market.
Veny Aleksandrov – Pritchard Capital Partners: So the opportunities (inaudible) even if gas is where it is.
Jose Mas: Our understanding is, specifically as it relates to shales, there are a lot of people going full steam ahead irrespective of where the natural gas price is today.
Veny Aleksandrov – Pritchard Capital Partners: Okay, thank you. And then my next question is on the communications side, the communication infrastructure. It looks like on the wireless side your clients just need to expand their infrastructure constantly. How much more resources do you have without having to go out and spend significant CAPEX to service this expansion? Or are you going to start bringing capacity back from other segments? Is this the plan?
Jose Mas: No. We’re not moving a significant amount of capacity around. We’re actually trying to build the capacity within that business. I think we’ve done a great job. I don’t think it’s really stressed the- Not to take anything away because it’s absolutely remarkable what we’ve been able to accomplish, but it’s not like we’re incredibly stressed or have incredibly stressed the organization to accomplish what we have. And the reality is that we’re working extremely hard to try to attain the highest growth rates possible in that business for the foreseeable future.
Veny Aleksandrov – Pritchard Capital Partners: So right now you can support the growth, okay.
Jose Mas: We don’t think there’s significant capital investment requirements regardless of the growth in that business.
Veny Aleksandrov – Pritchard Capital Partners: Thank you so much, I appreciate it.
Jose Mas: Thank you, Veny.
Operator: With that we will conclude today’s question-and-answer session. Thank you for your participation and I will turn things back over to Jose Mas.
Jose Mas: Again, I’d like to thank everybody for joining us today and we look forward to updating you again in three months. Have a great day.
Operator: Thanks again for joining us today, everyone. That concludes today’s call. Again, have a good day.